Operator: Good day, and welcome to the Quest Resource Holding Corporation Fourth Quarter and Fiscal Year 2016 Earnings Call. Today's conference is being recorded. Before I turn the call over to management, I would like to remind everyone that this conference call may contain predictions, estimates and other forward-looking statements regarding future events or future performance of Quest. Use of words like anticipate, project, estimate, expect, intend, believe, and other similar expressions are intended to identify those forward-looking statements. Forward-looking statements also include statements regarding Quest's future opportunities for growth, Quest's expectations for revenue, margins, and profitability in future periods; Quest's industry position and industry trend; and future opportunities related to Quest's e-commerce Web site and comprehensive proposals director. Such forward-looking statements represent Quest's current judgment about the future, and they are subject to various risks and uncertainties. Risk factors and other considerations that could cause Quest's actual results to be materially different are described in Quest's Securities Filings, including its Forms 10-K, 10-Q, and 8-K. You can find those documents on Quest's Web site at www.qrhc.com. Quest does not assume any obligation to update that information. Actual events or results may differ materially from those projected, including changing market trends, reduced demand, and competitive nature of Quest's industries. In addition, in this call we will include a substantial amount of industry and market data and other statistical information as well as Quest's observations and views about industry conditions and developments. The data and information are based on Quest's estimates, independent publications, government publications and reports by market research firms and other sources. Although Quest believes these sources are reliable and the data and other information are accurate, we caution that Quest has not independently verified the reliability of the sources or the accuracy of the information. In addition, Quest's observation and views about industry conditions and developments are its own and may not be supported or agreed with by other industry participants or observers. Certain non-GAAP financial measures will be discussed during this call. These non-GAAP measures are used by management to make strategic decisions, forecast future results, and evaluate the Company's current performance. Management believes the presentation of these non-GAAP financial measures is useful to its investors' understanding and assessment of the Company's ongoing core operations and prospects for the future. Unless it is otherwise stated, it should be assumed that any financials discussed on this call will be on a non-GAAP basis. Full reconciliations of non-GAAP to GAAP financial measures are included in today's earnings release. With all that said, I'll now turn the call over to Ray Hatch, President and Chief Executive Officer.
Ray Hatch: Thank you, operator, and welcome to everyone for joining us on the call today to discuss our results. Now joining me on the call is Laurie Latham, our Senior Vice President and Chief Financial Officer. So this is the first earnings call since I was appointed CEO and I'm glad to take this opportunity to provide an update on our progress and to highlight our key initiatives. First, I must tell you that I am excited about Quest and the opportunities that lay ahead for our company. It's been one year since I came in and took the job. I spent a lot of time meeting with customers, our subcontractors. And based on the positive feedback about the value that would bring to both, I'm even more excited about our opportunities today than I was when I took this role. Last year, we began implementing several initiatives. Our efforts are focused on providing differentiated services with a solid value proposition to our customers and creating profitable growth and improved returns for our shareholders. We're also looking to restore double-digit long-term growth rate. However, it's important that we note that we're focusing on the right revenue opportunities and not just revenue for revenue sake. Those efforts have showed positive results so far in the fourth quarter. The top line grew 2% year-over-year. We added 50 basis points to our gross margin, and substantially improved our adjusted EBITDA loss. While this performance is far from acceptable, we see it as a clear path to sustained improvement, which we'll discuss later in the call. For now, I'm going to turn the call over to Laurie to review the financials, and then I'll be back to review our initiatives and our financial goals. Laurie?
Laurie Latham: Thank you, Ray, and good morning to everybody. Starting with the fourth quarter of 2016, revenue increased 2% year-over-year to $45 million compared to the corresponding period in 2015. The increase was primarily driven by growth in services to additional automotive and fleet customers. Gross margin for the fourth quarter was 8.2%, a 50 basis point improvement versus last year, and a 40 basis point sequential improvement. Operating expenses decreased 19% overall, with a 38% decrease in depreciation and amortization, and a 12% decrease in SG&A primarily from the discontinuance of the Earth911 ecommerce site in Q4 of 2015, and a reduction in stock-based compensation in Q4, 2016. The loss per basic and diluted share was $0.09 for the fourth quarter of 2016, compared with the loss per basic and diluted share of $0.20 for the fourth quarter of 2015. Our earnings before interest, taxes, depreciation, and amortization stock-related comp charges and other adjustments or adjusted EBITDA was a loss of $234,000 for the fourth quarter of 2016, which is an improvement of $465,000 over the same period last year. The improvement was primarily driven by the increase in gross profit of $254,000 as well as a decrease in SG&A expenses. We compute adjusted EBITDA, which is a non-GAAP financial measure, to provide additional insight into our financial performance. I would refer you to the table in today's press release for a reconciliation to GAAP. Turning to the full-year 2016, revenue increased 8% to $184 million. The increase was primarily due to a combination of new and expanded revenue from customers added in late 2015 and in 2016 of approximately $19.3 million. This was partially offset by a reduction in revenue of approximately $5.4 million from discontinuing a service contract in 2016 related to a declining margin commodity. Our single largest customer accounted for approximately 44% of 2016 revenue, which was unchanged from the prior year. Growth with this customer kept pace with overall growth of new business. We expect customer concentration to decline over time as we continue to grow our customer count. Gross margin for the full-year 2016 was 7.8%, which was slightly below the 8% during 2015, but produced an increase of gross profit of $769,000. The gross margin percentage decline was primarily due to the change in the mix of services and fluctuations in the cost of various contracted services. Operating expenses increased 6% overall as a 12% decrease in depreciation and amortization was offset by a 12% increase in SG&A expenses. Depreciation and amortization decreased primarily from the reduced amortization of $566,000 from the cessation of the Earth911 ecommerce marketplace Web site during the fourth quarter of 2015. SG&A increased primarily from increases in stock-related compensation of $535,000, legal and other professional fees of $235,000, severance expense of $29,000, and selling, general, and administrative expenses of approximately $579,000 related to the integration and servicing of increased number of customer locations. The loss per basic and diluted share was $0.55 for the full year of 2016, which was only slightly lower than the $0.53 loss reported during 2015. The adjusted EBITDA loss for the full-year 2016 was $1.5 million, a 10.5% increase from the $1.3 million posted during 2015. Looking at our balance sheet, we had $1.3 million in cash at the end of 2016 as compared to $3 million posted at the end of the prior year. Working capital as of December 31, 2016 was $3.1 million, an increase from the $2.1 million of working capital as of December 31, 2015. Total long-term debt at the end of 2016 was $5.2 million, a modest increase compared with the $4.3 million at the end of 2015. As of December 31, 2016, we had available borrowing capacity under our credit facility of $9 million. In February, 2017, we entered into a new loan agreement with Citizens Bank which provides for an asset-based revolving credit facility of up to $20 million, and an equipment loan facility in the maximum principal amount of $2 million. The ABL facility replaced our prior credit facility which was paid off and terminated. A new credit facility adds significant financial flexibility, and provides incremental borrowing capacity to support expected growth in revenue and associated working capital. So at this time Ray will discuss our initiatives and outlook.
Ray Hatch: Thanks, Laurie. First, I'd like to share with everybody why we're so excited about the future here at Quest. Quest has tremendous efficiencies of scale and scope. We're the only vendor with a national footprint and a service offering that includes almost all waste streams. This provides a significant competitive differentiation. We have a strong brand with a reputation of solving customer problems, allowing them to focus on their core business, which we hope is very helpful on helping them achieve their overall goals. We provide a great value proposition to our customers, and to our subcontractors. For customers, Quest provides a single point of contact with one throat to choke, if you will. We are flexible, solution-driven partner and provide consistent reporting and actionable data. For our subcontractors, the Quest has some other business, and by increasing raw density and asset utilization for them, we help them improve their profitability as well. We have an asset live business model that provides us flexibility to provide the light services to share our customers' needs; opportunities to leverage our footprint and core competences in our new vertical markets and expand the size of our addressable market also. Finally, there are significant and disruptive changes in how companies look at handling their waste, instead of sending ways to a landfill, companies that are looking to find ways to economically recycle. Plus it's well-positioned to benefit in some cases and take a leadership role and effecting these changes. We have a history of doing this for example Quest was a pioneer in organic food waste disposal. Today, more than 600,000 tons per year of organic fertilizers are there to regulate from the landfill to more productive uses. We have opportunities to do same thing in many other areas as well as we progress. We are focused on five key initiatives to the Quest. First, we defined need to new key market verticals and industrial and the construction industries that we are focused on. Quest can really differentiate except on these verticals because we have the capability and reputation of being able to handle complex way streams. While providing high service levels required for this market. Both of these verticals are highly sensitive to downtime and regulatory compliance and that further increases their complexity and allows us to demonstrate our differentiated value proposition and we have also moved rapidly under these key markets and demonstrated significant success in recent months. For example, in the industrial vertical last quarter we announced a Fortune 100 customer with more than 50 plant size throughout the United States. This is a more key win for us than the industrial market, which is estimated to be over $1 billion or $1.2 billion annually. Industrial customers make up less than 5% of our revenue performed today. So we have a lot of headroom for profitable growth within this segment. Another example is that when that we got this past week and the construction demolition vertical. Over the past several months we developed a service offering in a footprint from national contractors. And earlier this week, we signed our first national contractor with one of the largest construction companies in the U.S. This is also a large addressable market that is new to Quest and represents an opportunity for growth. We've identified that largest 150 customers in the space, spend more than $600 million annually on waste services. Our second initiative to talk about today is to reorganize our sales organization. Over the past several quarters, we've made several changes to design to align incentives with our strategic direction and compensate based on contribution not just revenue and that definitely represents a shift for us. We've also recognized our client management, excuse we organize our client management group to serve two primary functions. First is to manage client relationships according performance expectations. Second is to expand these relationships to those existing customers. As I said earlier, we have a large base to customers and we want to make sure they are happy as well as expand the amount of business that we are doing with them. Anytime you have a change in the sales organization, you have the opportunity for disruption, we've done a great job with these changes and I'm pleased to say that reaction from our sales group has been very positive and we feel like it's going to do nothing to accelerate the growth in the right basis for us going forward. Third initiative was the change and how we think about and invest in our subcontractor relationships. To succeed in our business, our relationships with our subcontractors can be just as important as our customer relationships. As such we've made investments in the new team and procurement specialist whose purpose is not just to evaluate but also to manage the relationships to ultimately help our subcontractor succeed. By doing this, we are able to create better service for our customers and better economics for all parties involved. Finally, our fourth initiative is to improve our efficiencies to process improvement and investments in technology. There are new executives to lead this effort, David Sweitzer, our new Chief Operating Officer. I have worked with Dave at Oakleaf in our past. He has done a fantastic -- he did a fantastic job of taking a very diverse, demanding national customer's needs in creating a effective solutions operationally. I am very glad he is part of our team. Dave has led the efforts to improve workflow, remove redundancies, and we expect to continue to play a large role on our margin improvement strategy. We have also made investments in our IT infrastructure focused on automating internal processing, management, data collection, and reporting for our customers. This will allow us to profitably scale our business going forward. Moving on to our outlook, during 2017 our quarterly performance may not be linear; we expect our initiatives to resolve in another 100 to 200 basis points improvement in gross profit. And we expect to return to a positive adjusted EBITDA during 2017. Longer term, we expect to resume double-digit growth -- top line growth, excuse me. We also expect to show continue growth and profitability during the next several years and have a 3 to 5 year gross margin target in the low to mid teens with a 3 to 5 year adjusted EBITDA target of 4% to 6%. Ultimately, we believe that focus on providing differentiated services with solid customer value proposition will create a sustainable and greater long term shareholder value. I look forward to keeping you updated on our progress. And we now like the operator to provide instructions on how listeners can queue up the questions.
Operator: Thank you. [Operator Instructions] We will go on to our first question from Amit Dayal with Rodman & Renshaw.
Amit Dayal: Thank you. Good morning, Ray. Good morning, Laurie. Congrats on the progress in shoring [ph] up margin. Just on the margin front, you are guiding for improvement in 2017, we did see revenue growth around 8% in 2016, should we continue to expect single-digit revenue growth in 2017, or will these margin improvements that we are expecting come at the sacrifice of some revenue growth?
Ray Hatch: Amit, thanks for that question. This is Ray. Our focus is on margin, and more importantly or more accurately gross profit dollars. Revenue -- the right kind of revenue as we mentioned in the press release and in the comments earlier, the right kind of revenue focused on right customer is really margin-based. So, I guess I am saying is that revenue growth is not our primary function, whereas gross profit growth is, and finding the right customer and growing efficiency. So, Laurie, do you have any comment on that? Is that…
Laurie Latham: Right. So, in other words, our emphasis now is up and down the P&L. We want to make sure that we focus on those right customers as we bring in any kind of revenue growth. Very importantly, also is that we get the right mix of services in which helps to generate that improved gross profit margin and therefore our whole financial performance. Now, I think that's emphasis for 2017. Wouldn't you agree, Ray?
Ray Hatch: Yes, and I will -- just to further expand on that, you are asking about 2017, and we are thinking about as we mentioned on the long-term piece, we expect as we align our portfolio of clients that makes sense with this strategy that we have that we will resume as we mentioned double-digit growth in the long-term as we do that. In the near-term, we are not really focused on that top line, so it will be hard to give you a number in that area, but I am saying that we will continue to increase gross profit dollars. I have got a stat just that I pulled out of the Q4 versus Q4 last year, the quarter itself had a revenue increase to just under 2%, but had a gross profit dollar increase of 7.5%, which is -- that's going to be more indicative of the type of mix ratio that we are looking for as a significantly higher increasing gross profit dollars than possibly top line revenue. Does that answer your question?
Amit Dayal: Yes, yes, yes, perfect. And then just looking at the SG&A, we came in at just shy of $4 million for the quarter, you know, it looks like this Earth911 site is no longer sort of going to be a drag on the SG&A side. So should we look to model in 2017 according to what we saw for SG&A in the fourth quarter of 2016?
Laurie Latham: Well, one, I want to clarity that the expenses for Earth were -- that occurred in 2015, so they didn't affect 2016. So there really look forward, I think if you look at the entire year for 2016 would be a good guide for 2017. Fourth quarter had some year-end adjustments. And we also had some adjustments related to stock compensation that I think were more quarter based, and therefore for a going forward look it's the entire year. That would be what I would guide you.
Amit Dayal: Okay, perfect. Now, can you give some color on how you are positioning the analytic side of the offering…
Ray Hatch: That's great, I appreciate it. The analytic side and we mentioned that we're very proud of it. One of the words we used a lot is differentiation, and we continue to use it quite a bit. We feel it's vital in our space to provide value. And to do that our clients need actionable data. And we feel like we know we're uniquely positioned to provide that in many cases. This most recent customer that we talked about in the industrial sector is a very diverse, complicated customer, with a large need for data. And they've really helped frankly accelerate us in understanding complicated customer needs. So the answer to your question about contribution is, yes, we're moving forward with it. And yes, we definitely believe it's increasing stickiness. The data we're able to provide clients has got immense operational value for themselves, and that is a tie to Quest. And the good news is that it's helpful now that I'm excited about where we'll be going forward because the clients are starting to see the possibility, and ask us a lot of things to be able to include in that, which just increases the value of our offering across the board.
Laurie Latham: And I think, Ray, going into 2017, our platform will be instrumental in helping with like our new segment in construction.
Ray Hatch: Absolutely.
Laurie Latham: And there it will facilitate the incoming requests for services and sales. So it's now starting to, as we go into 2017, be also a tool for us to reach out and receive incoming revenue from service enquiries.
Ray Hatch: Absolutely, the technology advancement -- again, this is a great new space on the construction side that's pushing us in areas that are going to enhance our capabilities beyond that. But the ability for the technology to enable us to service that national footprint is a key differentiator. So the question of contribution, yes, we believe it's there, but we believe it's just beginning. And we're excited about where it's going to take us.
Amit Dayal: Awesome. That's all I have. Thank you, guys.
Ray Hatch: Thank you. Appreciate it, Amit.
Operator: And we'll go on to our next question from Gerry Sweeney.
Gerry Sweeney: Good morning Laurie, good morning, Ray.
Ray Hatch: Good morning, Gerry, how are you?
Laurie Latham: Good morning.
Gerry Sweeney: I'm doing well. I want to talk a little bit about the margins and the margin target for this year. I'm wondering if you could maybe give us a little bit of detail on how much of the 1% to 2% increases just from bad business being moved out, how much of it is new business, and maybe how much of it is procurement and maybe efficiency improvements?
Ray Hatch: Well, that's a great question, Gerry. As always, and as we've discussed before, the overall improvement is a mixture of numerous activities. This may be a good time to illustrate it, actually to restate those activities. It starts with the buy side. I mentioned the procurement investment earlier. That's going to have a lot of impact in that increased forecast of taking better economics, and in essence reducing cost of goods in the formula. And these segments we're brining on are really nice contributors on the margin side. So we really feel between the customer that we're brining on and the vendor relationships that we're developing, and growing, and enhancing, that'll make up a big part of that. And then honestly, as we've mentioned before, the right revenue is what we talk about. And we're trying to make all of our revenue the right revenue. We view all of our customers as potential possibilities in that area. So it's really hard to put a number as to what contribution there will be, but we have an agreement that's performing well under the threshold today, it's going to change over time. So I think it's a mixture of all of the above, Gerry, to answer your question.
Gerry Sweeney: Okay. And then what would be the delta, say, getting 1% or 2%, is it just maybe timing of getting new contracts in or timing of new agreements with vendors, et cetera, or is there something else behind it?
Ray Hatch: No, it's really [indiscernible] price blocking and tackling, but we have a really clear understanding. It's like a lot of things, the answer to the problem is simple but it's not easy. And so where I was headed with that was, the delta is going to be driven by all of the above. And there are definitely timing issues. It's multifaceted. But the timing issues on the cost of goods side, we're moving north with it now, and it'll obviously accelerate over time we believe. And secondly, as we roll out a larger penetration in the existing accounts that we have, excuse me, the new business we've brought on, it's going to have upward pressure on margin as well. So I hate to keep multiple bucket piece, but it truly is that.
Gerry Sweeney: And then your largest customer, remaining at 44%, how would they respond? I mean, is there an opportunity to squeak out some margin? I think we all know who it is, and they're traditionally very challenging on the margin front. Or is that just a sort of a status quo and huge gross profit dollar contract, but just want to see how the margin activity is on that customer.
Ray Hatch: Yes, Gerry, that customer that we all who that is, is a great customer. It's a large piece of our revenue. And our focus with that customer is to have them continue to make us a better supplier and enhance our service supply subcontractor network with all that book of business we're able to bring to the marketplace. So typically the margin enhancement you get from a client like that is the leverage that they give you to go a good job in other places. So I don't see that's client's profitability moving north, but I definitely see us continuing to provide them in a strong way being a good business partner, and they provide us with a lot of leverage. Laure, what's your thought?
Laurie Latham: Well, I agree with you, Ray. And I think the opportunities with any customer are really brining new services or different kinds of innovations and opportunities. And I think they've always been responsive to that.
Ray Hatch: That's a great point, Laurie. Who knows, but I will tell you that our services with that client are multifold now. And they originally started with just one service. And as we continue to be a high performing solutions provider for that client there's probably going to be some other opportunities down the line as well. And hopefully that's how we'll earn a better margin and gross profit over that client ultimately.
Gerry Sweeney: Got it. And then one last one, I know on the new credit facility there's $2 million carved out for equipment. Have you started to roll out some of that equipment? I'm assuming it's in the compactor [ph] space. That is one area we discussed in the past. And I wanted to see if you started rolling it out, and sort of what the timeline for that rollout is?
Ray Hatch: Gerry, good question, and we have discussed that. The primary focus, although it can be other things as well, is the compactor space. And we think it's a great business, and we want to develop our own and expand it, and this facility should help us do that. But it's a brand new facility and we haven't started that yet to be honest with you. But we're definitely planning on doing that, and opportunities are out there with our existing client base. So as we've discussed before, we don't need to go find these clients, which is great; they're already there. So we'll be doing that in the near term we'll be moving into that.
Gerry Sweeney: Okay, perfect. That's all for me. Really appreciate it, and congrats on a nice quarter.
Ray Hatch: Thanks, Gerry, appreciate it.
Laurie Latham: Thank you.
Operator: And we'll go on to our next question from Mike Vermut with Newland Capital.
Mike Vermut: Hi guys. Very nice improvement here, it's a breath of fresh air.
Ray Hatch: Thanks Mike.
Mike Vermut: Can you just go over on these new -- I got a few questions there, on these new business wins, what types of margins we're looking at? And also, what the backlog of business looks like on the construction/industrial side?
Ray Hatch: You know, Mike, I think you'll appreciate this. We typically don't speak about our margins associated with the individual clients. But from a sector standpoint, I can tell you that both of these sectors are considerably higher than what our run rate on margin have been traditionally overall, and they are part of our double digit strategy obviously to get us there. And there is a lot of headroom in that space. And I will tell you that it's one of those -- I guess one of the comments that I have used before and I think you may have heard me is that we are really looking for the type of client that sees the value in the service more than the cost of the activity. And the value in the service for these clients, i.e., industrial and downtime regulatory, those type of things good performance by client or by a vendor like ourselves has a much greater savings and it kind of deemphasizes the actual cost of water [indiscernible] disposal is. That's what we are looking for. So ultimately, what I would say is that these spaces and these wins and we will have more wins by the way in each categories. We feel very confident. We will have a significantly higher run rate in margin because we bring significantly higher value frankly to that space.
Mike Vermut: And who are you competing against -- I know there are a couple of private players out there who you look at them some of them gotten funding at significantly higher evaluations than we have, how do you look at that? What's the competition out there? I would assume it's not great for what we do and it's just making the approach to all these customers. I assume they are using different vendors now and not aggregating everything under one contract?
Ray Hatch: That's a good point in the cases, Mike. They haven't been aggregated and the term we use in this space is they maybe haven't managed -- managed meaning externally like what we do. And they have done it internally. And with that, for example, we are just using example without giving a customer name, but you've got 50 locations across the country. You are using literally hundreds of vendors today to perform your waste stream disposal services. And out of those hundreds, I would dare to say that you're probably not managing them. At best, you are trying to get the invoices paid in a proper manner. And the worst part is you are not gleaning any roll up actionable data from a program like that. But again it helps our value proposition and that's in both of those spaces we talked about. For example, I'll talk about the construction space. So what I have learned, it's really interesting to me it's a very sophisticated space much like industrial. They have a very sophisticated spend on the procurement process. But there is a piece that's missing from the sophistication aspect. Typically C&D waste disposal is not a very sophisticated spend. It's usually done on a local level, done with relationships; it's done with anything but a nationally leveraged purchasing program. So we stumbled in a sophisticated space with an unsophisticated spend in that area and that excites us there is an opportunity to really bring value to our client in that regard. So our competition many times is a lot of these large national companies that have been managing themselves traditionally. We're bringing a better consolidated opportunity to them. And then you've got your traditional waste managements out there and others. But all of the ones that we can compete with, Mike, they are relatively limited in their offering. We tackle virtually all waste streams made by businesses. And these other competitors that you mentioned especially the well funded one might be a little more narrow in the offering they are bringing to the marketplace.
Mike Vermut: Excellent. Couple of more issues here, looking at that guidance and doing the Math on revenue, is there any kind of revenue range you are looking at in that three to five years? It seems like it's somewhere in the 350 to 450 or 500 range if we just go into the growth you have been talking about, is that fair as a target?
Laurie Latham: I mean…
Ray Hatch: We're looking at each other. You have to make sure whether we get answer here. What do you think, Laurie?
Laurie Latham: I mean I think we in your lower part of that range, we have looked at that and I think your range…
Mike Vermut: Yes, that range matches in a very board…
Ray Hatch: We are given long-term vision, I think Mike, that we have laid out there, we are moving back to be a big growth company as we align this thing in the right direction. I want to make sure that message clear, but running down the path until we have the right portfolio, the right tools in place, and have our strategies active, we feel like because we have a detrimental effective value. So yes, I think you [indiscernible] what she just stated is accurate.
Laurie Latham: No, no, no. I think as our gross margin goes up and we of course that's a driver for us. That's why the lower range is really what we would like to reach for, yes.
Mike Vermut: Excellent. Okay. And then, the credit agreement just kind of take, I assume for the foreseeable future until our equity gets to a reasonable level significantly above here that this takes care of the capital needs and you feel comfortable and I thought is a big move getting this credit agreement, do you feel comfortable there?
Ray Hatch: Well, first of all thanks for bringing up the credit agreement, I - we are really excited about this and our new partner citizens relationship and I think its real validation on the company frankly. This new facility you know my answer to that question is it really is helpful for us to have a facility with a kind of terms that match our business you know, it takes some pressure off. And so I -- I mean, when it comes to needing more capital, I mean it depends on business opportunities that…
Laurie Latham: Yes, I mean [we are driven] our increased expectations of our operations in that facility, it matches very well. I mean, as we grow, we do have CapEx that we use in bringing on customers and from the ARAP cycle, but that's exactly what that facility was for? As we have other opportunities for growth, say in acquisition or some other out of scope type opportunity, we can really look at our alternatives then, which we have several and just evaluate the right capitalization of that time.
Mike Vermut: Excellent. All right. Look, this is a fantastic change that's occurred over the past year and it sounds exciting going forward as well.
Ray Hatch: Thank you and we appreciate that and on behalf of the team here in Quest I want to thank you for them, they've done a tremendous amount of work over this past year and we will continue to bring value to everybody.
Mike Vermut: Excellent.
Operator: And we will go back to Gerry Sweeney with ROTH Capital.
Gerry Sweeney: Hi, just one more question on the analytic side, I know it was brought up, are you the only company that really truly has the analytics on the waste side in terms of being able to measure what this exiting plans or facilities and being able to give customers a proactive look into their waste streams?
Ray Hatch: You know, what Gerry, it's a great question and I'm not going to stay with only ones that have that but I will say this since we are the only ones that go across basically every waste stream. The analytics we are all provided is the only comprehensive, one stop you are going to have. Our client can sign in their portal and I think I missed this earlier one of our complex clients that we had and the first four plans we took over they had 80 vendors they were managing, good to handle all their waste streams, now they have one. So I'm sure there is a lot of other waste providers that have and I know that you can sign into a portal and see what they are doing for a client. But the trick is, is nobody else is going across the entire waste stream portfolio like we are. So our analytics are better just because of the amount of and the breadth of the data that we feed into it. Does that make sense Gerry?
Gerry Sweeney: Yes, that's absolutely. I was just you know, it popped into my mind and I was interested obviously as we move forward and you start getting at that and maybe start developing some tools around it?
Ray Hatch: Yes.
Gerry Sweeney: Because I thought it would that itself instead of dealing with waste and recycling, which is a necessary, you will - you actually have a very proactive tool that can drive -- increase profitability i.e. increase the value and maybe what you charge for your own service.
Ray Hatch: Gerry, it's a great point. One other things that we talk about here a lot of Quest is we are not a waste company, we are a business service provider and bring value and we are able to - the platform we are using to collect this data can be used for a lot of things as we move forward and one of the neat things about having customer's challenges that makes it better, faster. We are in a space, Gerry, that I believe this is exciting to one of the reasons I have been here is we are in a space that we have very challenging customers that have ever increasing and demanding needs, they don't settle for what they got yesterday, they want better data, better product, better service, better innovation for tomorrow. We've got competitors that are good as well, but we are in a good dynamic space where to being challenged we had incremental value whether through data or other innovated offerings. It's always there for us. And again, we think Quest is uniquely positioned to take advantage of that. So, our data analytics platform is exciting to us about what it can be, and primarily what it can be is it can increase the value of Quest to its customers, and in that is a better value proposition.
Gerry Sweeney: Got it, I appreciate it. Thanks a lot.
Ray Hatch: Okay.
Operator: And we have reached our allowed time for questions. At this time, I will turn the conference back over to Ray Hatch for any additional or closing remarks.
Ray Hatch: Great, thank you very much. Just simply in closing, we did use of our time, I'm excited that we had such a great participation from folks of high interest in the company; great questions, and Laurie and I and the rest of the team here at Quest accept the challenge to continue to improve what we are doing for our clients, our shareholders and our vendor partners as well. So, thank you all for your interest. We looking forward to keeping you updated, and continuing to progress and move the company north.
Operator: And this concludes today's call. Thank you for your participation. You may now disconnect.